Operator: Welcome to the ATA Inc. conference fiscal 2014 first quarter financial results. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions). As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Carolyne Yu of the Equity Group. Thank you. Ms. Yu, you may begin.
Carolyne Yu: Thank you, operator, and good morning everyone. Thank you for joining us. Copies of the press release announcing ATA's fiscal 2014 first quarter are available at the IR section of the company's website at www.ata.net.cn. As part of this conference call, the company has an accompanying slide presentation available on the company’s website. You are also welcome to contact our office at 212-836-9600, and we would be happy to send you a copy. In addition, a replay of this broadcast will be made available at ATA’s website for the next 90 days. Before we get started, I would like to remind everyone that this conference call and any accompanying information discussed herein contains certain forward-looking statements within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Although the company believes that the expectations reflected in its forward-looking statements are reasonable as of today, those statements are subject to risks and uncertainties that could cause the actual results to differ dramatically from those projected. There can be no assurance that those expectations will prove to be correct. Information about the risks associated with investing in ATA is included in its filings with the Securities and Exchange Commission which we encourage you to review before making an investment decision. The company does not assume any obligation to update any forward‐looking statements as a result of new information, future events, changes in market conditions, or otherwise, except as required by law. Regarding the disclaimer language, I would also like to refer you to slide two of the conference call presentation for further information. All U.S. dollar amounts in this conference call, relating to financial results for the company’s most recent quarter ended June 30, 2013, are converted from RMB using an exchange rate of RMB6.1374 to $1, all historical conversions are accurate as of the time reported unless otherwise noted. The company reported financial results under U.S. GAAP in RMB, and all percentages calculated in the presentation are based on RMB unless otherwise noted. For those of you following along with the accompanying PowerPoint presentation, there is an overview of the company on slide 3. The company's CFO Mr. Benson Tsang will provide an overview of operational and financial highlights for first quarter 2014 beginning with slide 4, the company's Chairman and CEO Mr. Kevin Ma will then provide closing remarks. With that I'll turn the call over to ATA's CFO Mr. Benson Tsang. Please go ahead, Benson.
Benson Tsang: Thank you, Carolyne, and good morning everyone. Today we'll provide an overview of our financial and operating highlights of first quarter 2014 and discuss our outlook and growth strategy for the remainder of fiscal year 2014. Slide five shows some operating highlights for first quarter 2014. During the period we delivered 2.1 million billable exams, which is about the same number of the trends ATA delivered in the prior year period. The majority of these exams were for the China Banking Association which continued to experience increased volumes and Securities Association of China. We also made some progress with our security guard exams having renewed our contract in Shanghai as well as signing new contracts and beginning pilot exams in several other provinces. With regards to our private sector business, we entered into strategic partnerships with a few different educational institutions and companies as part of an effort. We introduced TOEIC to a larger audience. During the period ATA also delivered recruitment and personal exams for various banks in China, including the Agricultural Bank of China, Hua Xia Bank and Shanghai Rural Bank. On the right hand side of the presentation is a map of our extensive nationwide network of 2,810 test centers which enable ATA to deliver large scale exams simultaneously and cost effectively for our clients. We believe we are the only provider of this kind of large scale testing solution in China. Now I would like to discuss our financial highlights for the quarter on slide six. We achieved year-over-year growth in net revenues and gross profits for first quarter 2014 and this consensus estimates on both the top and bottom line for the quarter. We streamlined operating expenses during the period while continued to face some challenges with weaker demand for the SAC exam which we began seeing in the later part of fiscal year 2013 and continued into first quarter 2014. However lower volumes [after] revenue from the SAC exam was in line with our expectations for the period. As a result of our adjustments in marketing strategy and continued efforts to expand the private, ATA grew revenues from HR Select and TOEIC 38.6% to RMB20.2 million in the first quarter of 2014. With an encouraging start to the fiscal year, the company is reiterating its revenue and non-GAAP net income guidance for fiscal year 2014 which Kevin will explain later in the call. On slide seven, we show our first quarter 2014 results compared with our analysts estimates. We were pleased to have exceeded market consensus estimates for the period. On the next slide, we break out revenues for first quarter 2014 by our businesses, which can be broken down roughly into two areas, testing services and test preparation and training solutions. At above 91%, our core segment of testing services was a significant percentage of our total revenue in the 2014 first quarter. Testing services include exams, ranging from professional certification exams in various industries such as securities and futures, to exams resulting from our private sector business which includes TOEIC and HR Select exams. On the next slide, we have provided a breakdown of the company’s financial results for the quarter. Gross profit increased 2.8% to RMB48.1 million from RMB46.7 million in the prior year period. Gross margin for first quarter 2014 was 52.2% compared to 53% in the prior year period. The decrease in gross margin was primarily due to a year-over-year decrease in SAC exam volumes which resulted in lower contributions as a percentage of revenue. Net income increased 78.7% to RMB9.4 million from RMB5.3 million in the prior year period. Diluted earnings per ADS were RMB0.40 in first quarter 2014 compared to RMB0.22 in the prior year period. On slide 10, we provide a supplemental chart of quarterly numbers adjusted for share‐based compensation expense and foreign currency exchange gains and losses. I would like to highlight that excluding these items, adjusted net income for first quarter 2014 increased 14.5% to RMB11.1 million from RMB9.7 million in the prior year period. Diluted earnings per ADS, three and first quarter 2014 on a non-GAAP basis was RMB0.48, or equivalent to $0.08. We continue to be supported by free cash flow and a solid balance sheet, which we have highlighted on slide 11. As of June 30, 2013 we had about $43.5 million in cash. We have no long-term debt or short-term borrowings and continue to follow the strict cost structure that has served us well over the past several years. Finally I would like to provide some projections for second quarter 2014. Based on SAC exams schedules we expect second quarter net revenues will be in the range of RMB36 million to RMB46 million. Please keep in mind that this guidance is based on our internal growth projections and we will continue to evaluate our projections on an ongoing basis. With that, I would like to turn it over our Chairman, Mr. Kevin Ma for concluding remarks.
Kevin Ma: Thank you, Benson. We were encouraged by the growth in TOEIC and HR Select in first quarter 2014; however, the progress led with the security guard exams. At this point in time, ATA is in a unique position to capitalize on a competitive job [landscaper] in China. These figures shows that 7 million students who have graduated in 2013. In an increasingly competitive environment (inaudible) and fair assessment tools will be critical in helping job candidates and (inaudible) helping employees and the best employees. Slide 14 shows our revenue guidance for fiscal year 2014, which Benson mentioned earlier. We are [integrating] the fiscal year 2014 guidance provided in May and expect the net revenue to be between RMB403 and RMB423 million and non-GAAP net income to be between RMB37 million and RMB47 million. We continue working to exclude our growth strategies and remain committed to providing our test takers and clients with the valuable quality certification and skill assessment services. We listed our initiatives on slide 15. In fiscal year 2013 ATA was selected to be the service provider that will transition a highly regarded CPA exam from paper-based format to computer-based. We continue working to secure more conference like this and we believe our strong (inaudible) to do so. We also continue to map our new mobile testing system which has been very well received (inaudible). Our planned Cambridge ESOL has agreed to use MTS for it's Global Junior English exams in four months by the end of this year. We have really (inaudible) by the Minister [Wong Thi Jing] in Hong Kong and are preparing for upcoming exams in Latin America and Europe. This technology increases namely opportunities for ATA outside of China and we're expected to begin realizing the benefits of our investments in the coming quarters. ATA continues to generate excess cash flow and we continue to use (inaudible) to a mutual health organic growth. With that operator, let’s open it up for any questions.
Operator: Thank you. We will now be conducting a question-and-answer session. (Operator Instructions) Our first question comes from the line of Mark Marostica, Piper Jaffray. Please go ahead with your question.
Mark Marostica - Piper Jaffray: First question I have is in regards to your on guidance for the year and I was wondering if you can give us an update as to which implied in terms of any new pipeline exams that maybe driving that guidance at this point? And then presumable that typically your guidance doesn’t include anything brand (inaudible) you can also give us a touch of what that pipeline of the public test looks like? Thanks.
Benson Tsang: Thank you for your question Mark. Regarding our annual guidance, as we mentioned earlier we are still making our guidance of 403 million to 423 million for fiscal year 2014. And the original guidance when we prepare, we anticipate we have a single-digit growth in our traditional business market sector and we do anticipate about 20% to 25% growth in our private sector. And based on what we see right now, with few comfortable we can achieve that growth and that is the main reason we maintain our guidance. As far as the new contracts, many of the new contracts are in the private sector and at the moment for our Q3 we can actually see a [black] line of RMB110 million, as a result of that we grew pretty strongly 403 million to 423 million is very achievable.
Mark Marostica - Piper Jaffray: Also the security guard exams came to [Shanghai] this quarter and I am curious about was it above your expectations and also with your guidance (inaudible) for the full year fiscal year for revenue from the security guard exam is whether or not that can be a source of potential upside to your guidance.
Benson Tsang : Security guard exam, last time we share to the Street, we anticipate a minimum of 30% growth on an annual basis. And by Q4, 2013, we signed seven cities and setting contracts to the legal for the Security Guard examination and I'm very happy to tell you at this moment, we already have 18 contracts with 18 cities and in 17 cities we are delivering the test as we speak. And in terms of revenue, last year we delivered, generated above RMB5 million revenue from the security guard exam and we anticipate this year 30% which is very comfortable and we do anticipate that contribution from security guard exam probably will be in a range of 50% plus.
Mark Marostica - Piper Jaffray: On the headcount side, I thought this has been a focus for the company, go over your current headcount plans for the year and whether there will be any focused increases in headcount in many areas when we look at
Benson Tsang: At the end of last year, in the last quarter, we shared to the market we are in the process of restructuring the company, in order to make it a very cost efficient structure to propel the business going forward. As a result of the restructure, we downsized about close to 60 below and the current headcount at the end of Q1, we're about 465 people and according to our current plans, we did budget for approximately the headcount will go up to 500 people but the way we will add the people is basing on the actual need and the value the new staff can bring in to the company. So we do not think we’ll reach the 500 headcount by the end of Q2. If we will achieve 500, it will probably meet Q3 or towards the end of Q3.
Mark Marostica - Piper Jaffray: Great, and then one last question following up on Mr. Ma's statements around the Cambridge relationship. It seems that you are getting some momentum there and it’s going well. Just trying to get an idea of what revenue potential is here if you can help frame it for us. It sounds like this year is more of a year focused on trailing the system and rolling it out on a select basis. Just trying to get a sense for how many locations, regions you will have in place by the end of the year for the new MTS and the (inaudible) exams and then what we could be looking at by the end of next year as well. So any update there will be helpful?
Benson Tsang: Generally in 2014 fiscal year, we budgeted about up to RMB10 million will be remaining as investment cost to [fill] up the MTS system and fulfill all the request of Cambridge. In the revenue side, we did not really budget for anything and in terms of the status right now we consulted with Cambridge that we will deliver a show case cash for Cambridge in Hong Kong and Spain towards the end of August. If the examination is to the satisfaction of Cambridge, Cambridge has confirmed will roll out the MTS system to four countries and cities, which include Mexico, Argentina, Spain and Hong Kong. And of course, within those three countries there maybe more than one city will grow out the MTS cash, but the final decision will be determined and will be advised by Cambridge and the timing for that will be September and October that will be again depending on the final directions from Cambridge. And what we understand is if everything works well, Cambridge has indicated it will like to grow out this MTS system on a global basis, and the timing probably will be January 1, 2014. Based on the current rollout schedule if everything works well, there is a fair chance that everything will start in Q4 calendar year 2013. Our current revenue as I mentioned earlier, we did not purchase anything for 2014. If we (inaudible) stock rolling out the program earlier, we do anticipate we’ll get some revenue from this particular system, but at this moment we are not able to give a quick estimate what the amount will be, what affect we’ll be getting from Cambridge, it will be additional to our revenue guidance. For 2014, calendar year I may not be able to give you a firm stance on the revenue figure, but I can give you in terms of a number of test we maybe delivering. Just for the Young Learner English Cambridge to have over a million test a year in regards to the rollout program, we do not anticipate we'll roll out in one go operating the whole country, the whole world. We believe to include to have a rollout program for different countries and different cities. So probably it will take like four years to roll out the whole world. So that’s what we get so far from Cambridge.
Mark Marostica - Piper Jaffray: Okay. And then one last follow up on Cambridge, given the sense of the feedbacks you are getting from Cambridge on the [M chip] which so far was the Hong Kong test that you have done? Thank you
Benson Tsang: Yeah. So far we are very, very happy with the result and that is the reason why they confirm Hong Kong and Spain go out in end of August and also countdown the schedule for 10 of October. So at the moment, I think the feed back is very positive and we are building on this and to build a relationship with Cambridge.
Operator: Thank you. (Operator Instructions) The next question is from the line of (Inaudible) of Oppenheimer. Please go ahead with your question.
Unidentified Analyst: So just I was wondering if anything you could have comment on the late (Inaudible) featuring assuming actually the financial securities (Inaudible). I assume that downward trends being stabilized and also I wondered if you maintain any expectation about on a full-year basis to the is likely to see a flat down [expectation]?
Kevin Ma: Thank you for your question. Regarding financial security, let me just emphasize one point. From our perspective, we look at financial industry mainly through three examinations. Financial securities, banking association and financial futures. All these three test, of course financial future is a ready to be a small test and this year Q1 exam compared to Q1 2013 some of it, in terms of number of cash, it came down about 80,000 tests. It was in line with our expectations for 2014 and for the banking exam, it actually grew about 8% in terms of volume and also in terms of the revenue. So overall for Q1, we were basically all budget. Our expectation and in Q2, traditionally, there is no examination for banking and there is only examination for financial securities and in Q2 we anticipate we will be short of about 70,000 test in financial securities as compared to Q2 2013. And also for the rest of the year, on a total basis, we continue to expect banking association exam will continue to see growth. And on the comparable basis, we still feel comfortable, the financial sector of we will be able to achieve the single-digit growth for both 2014. And as a result, we mending our guidance of 403 to 423 million.
Unidentified Analyst: Got it. So is it fair to say that the strength you seeing banking association test, is still more than offset to the when can it further financial and therefore we are able to exchange a single-digit to grow in the most test of Q3, that is clear statement?
Kevin Ma: Yes. We anticipate our growth in banking association will continue in 2014, and we also believe the short term in Q2 the financial security exams could be test for Q2. We anticipate at the moment, a number of cash to be deliver in Q3 and Q4 in the financial security exams will go up our 2014 expectation, which is should be in the range of 400 to 450,000 test per quarter.
Unidentified Analyst: Got it. Thank you.
Kevin Ma: Thank you.
Unidentified Analyst: And then my second question is regarding guidance, would be in your guidance range, but EPS 2Q’s filings is relatively low, it look slighter as well decline, how will you wanting this revenue guidance. So I wanted if you can please details behind the numbers, is there any shift between the quarters that you are seeing?
Benson Tsang: Sure. There are two main reasons for the Q2 guidance; the first reason I just mentioned, there was a shortfall in the financial security test in some of the volume. And the impact of that is approximately above RMB3 million. And then other reason for the Q2 guidance is that there were a shift of two tests from Q2 to Q3. One test is in relation to mutual fund and the other test is related to our private sector client. And the total for those two projects are totaling to about RMB10 million to RMB12 million. Let we emphasize we did not lose the contracts and these two contracts has the current indication from our clients, we will deliver them in Q3. And as a result of that, I mentioned earlier we do anticipate, we'll have a very strong Q3 and we anticipate another record breaking Q3 in 2014 financial year.
Unidentified Analyst: Excellent, and then my third question is if you can comment on the test still in your pipeline which do you expect to rollout any new tests within your (inaudible) today.
Benson Tsang: Sure. In terms of new test, in the private sector we have a number of them. As you know in a private sector we basically face on the content provided by the clients and if one has to deliver we’ll help them to deliver them. And those are normally like smaller scale type of tests. And in terms the public sector currently there are different test we are pursuing and all of them with the Department of Control or regulating association. And I think there are three. We're very close to concluding the contract and unfortunately, I am not able to disclose too much detail at moment, but we do anticipate we should be able to control one or two during this financial year and we will start seeing the contribution probably towards Q4 of this financial year and one of the project that I mentioned is actually paper-based examination to be converted in to computer base examination.
Unidentified Analyst: Alright, and just to confirm that you have not expected any of this potential tests in your full-year guidance. Is that right?
Benson Tsang: Correct.
Unidentified Analyst: Last question is with regards to your R&D expenses. I am wondering for example for the new MTS technology are you pretty much (inaudible) R&D work or do you still needed to spend some money in developing ultimately funding the R&D in to that traditional technology?
Benson Tsang: Our current plan, the RMB10 million we set aside for 2014 financial year. We anticipate this amount will be adequate to fulfill majority of the request from Cambridge this year, and the amount we spend thus far in Q1 does fulfill all the request so far. But we also do anticipate as we roll out the program with Cambridge there will be more demand and requests. So we do anticipate we’ll continue to spend some money and also let me highlight some of the majority of the expenses including the R&D is actually our engineers. So the engineer will maintain will remain our employee to support the Cambridge or the MTS system.
Operator: Thank you. There are no further questions at this time. I would to turn to floor back to management for closing comments.
Benson Tsang: Thank you again to all of you for join us. We look forward to speaking with you again during our second quarter 2014 financial results call in November. As always we welcome any visitors to our office in Beijing. Thank you.
Operator: This concludes today’s teleconference. You may disconnect you lines at this time. Thank you for your participation.